Operator: Thank you for standing by and welcome to the Colfax Fourth Quarter 2020 Earnings Call. [Operator Instructions] I must advise you that this conference is being recorded. Thank you. Mr. Mike Macek you may begin.
Mike Macek: Thank you. Good morning everyone, and thank you for joining us. I'm Mike Macek, Vice President of Finance. Joining me on the call today are Matt Trerotola, President and CEO; and Chris Hix, Executive Vice President and CFO. Our earnings release was issued this morning and is available in the Investors section on our website, colfaxcorp.com. We will be using a slide presentation to walk through today's call, which can also be found on our website. Both the audio and the slide presentation of this call will be archived on the website later today and will be available until the next quarterly earnings call. During this call, we'll be making some forward-looking statements about our beliefs and estimates regarding future events and results. These forward-looking statements are subject to risks and uncertainties, including those set forth in the Safe Harbor language in today's earnings release and in our filings with the SEC. Actual results may differ materially from any forward-looking statements that we make today. The forward-looking statements speak only as of today, and we do not assume any obligation or intend to update them, except as required by law. With respect to any non-GAAP financial measures made during the call today, the accompanying reconciliation information relating to those measures can be found in our earnings press release and in today's slide presentation. Before turning over to Matt, I would like to highlight that in our earnings release published this morning. We also announced that we'll be hosting a virtual investor day on Thursday, March 11. You can see the details of the event on slide 3 of the earnings presentation and in our release. The event will take place from 9 AM to approximately 1 PM Eastern Time and the meeting will include presentations from the company's corporate and business leadership. To register for the event please visit the Investor Relations section of our website at colfaxcorp.com and if you're not able to join us live replays will be available on the company's website following the event. With that let me turn it over to Matt to start on slide 4.
Matt Trerotola: Thanks Mike. Good morning and thanks to everyone for joining the call. We're pleased to report another quarter of improving financial results as we close out 2020. Despite the challenges of COVID, we continued our focus on improving and growing our businesses while keeping our associates healthy and safe. I want to thank our global team for their unwavering commitment to serving our customers and patients during this dynamic period. 2020 started with great momentum that we successfully translated into steadfast resiliency during the pandemic while strengthening our company both operationally and through acquisitions. As a result we're exiting the year poised to significantly grow in 2021 and beyond. We thoughtfully balanced our objectives during 2020, increased our investments in innovation, drove initiatives that position us to win as markets recover and continually outperform our markets. We did this while also executing on our cost savings plans, structurally eliminating over $20 million of costs and maintaining our financial strength by taking temporary actions to offset the COVID driven volume declines. We also strengthened our cash flow processes to improve consistency and conversion levels. Our second half cash flow was very strong and we exited the year with a clear line of sight to generate greater than $250 million in 2021. With this progress we secured the financial flexibility to begin executing on our strategy of expanding the business through strategic investments again. As we start 2021, we're renewing the exciting momentum that we had in early 2020 and are well-positioned for strong scalable growth. On slide 5, you see another quarter of sequential improvement while managing through the dynamic market conditions caused by the escalation of COVID cases during the quarter. As a reminder Q4 had several fewer selling days for us in comparison to the prior year and the third quarter of this year. Despite this sales improved 3% sequentially from the third quarter. We delivered adjusted EPS of $0.51 per share and free cash of $96 million both above guidance. We generated $145 million of free cash flow in the second half of 2020; a good indication of the cash flow capabilities of both of our businesses. Our innovation and commercial teams continue their solid execution and we outperformed our markets again this quarter. We also successfully expanded our MedTech platform by executing on three acquisitions, two during the quarter and another in January which I'll discuss in more detail in a moment. Slide 6 updates the pace of recovery in underlying customer demand. Our MedTech business was approximately flat sequentially on sales per day basis and as the fourth quarter progressed elective procedures and mobility were negatively pressured as infection and hospitalization rates surged through the month of December. The slowdown this quarter was much less severe than the previous one. Hospitals are much better equipped to manage COVID patients while maintaining higher levels of elective surgeries. Looking at 2021, volumes have stabilized in Q1 and we expect conditions to continually improve as we progress through the year. We expect a strong recovery versus 2020 and see volumes getting back to growth over 2019 levels as we move into Q2 and the second half. Our MedTech business continued its strong recovery with sequential sales per day growth of 10% versus the third quarter and down only 2% versus the prior year. We've seen the developing regions continue to grow again demonstrating the strength of this business's global reach. Our improving trends continued into January giving us a good start to Q1. We're projecting year-over-year growth in Q1 and a return to 2019 volume levels by the second half of 2021. We've been actively executing our strategic growth program as you see on slide 7. We were attracted to MedTech in part due to the many opportunities for investment in this attractive fragmented space. In the past four months we acquired three high-margin businesses with significant long-term growth potential. During Q4 we closed on the STAR™ Total Ankle Replacement business that we highlighted on the last call and we've since closed on two more acquisitions Trilliant Surgical and LiteCure.. Turning to Surgical has a rapidly growing portfolio of innovative foot and ankle surgical solutions that promote better outpatient outcomes. Its broad product line targets foot and ankle surgeons and podiatrists for both elective and trauma procedures. This includes the state-of-the-art arsenal footplating system a patented plating technology. Along with the 2020 acquisition of the STAR Total Ankle Replacement system, the Trilliant edition establishes a dedicated foot and ankle business that will leverage our recon segment infrastructure and replicate our highly successful surgical growth model. Foot and ankle surgery is a billion dollar U.S. market with attractive core growth and further opportunities for strategic investments. We expect the Trilliant business to grow in the mid to high teens with gross margins in the area of 80%. LiteCure the market leader in therapeutic laser technology for human and animal health. This business has a strategic fit in our recovery sciences business and strengthens our leadership position in physical therapy and rehabilitation. High-powered laser technology is on the steep part of a long market penetration curve with higher growth than many of the other technologies that are being applied in rehabilitation. We see the opportunity to grow this product line at high single to low double digits between the market tailwind and the innovation and channel synergies. We're very excited these businesses are now a part of our MedTech platform. Slide 8 expands a bit more on these acquisitions. Investors know that we have a very disciplined acquisition process rooted in our business strategy and focused on value creation. We have a very experienced team, CBS processes to ensure strong execution and as you can see each of our recent acquisitions accelerates our business growth strategies and expands our markets. For these transactions we expect very strong returns which also points to the strategic fit and attractiveness that each brings. We pay 135 million for the three businesses and expect to get them to contribute over $100 million of annual revenue in year three at accretive margins and double-digit organic growth. With this expansion, we're aligning our MedTech structure to accelerate growth. Our new foot and ankle business is becoming an additional growth platform within reconstructive and our bone growth stimulation business which was formerly part of reconstructed is now in prevention and recovery where it shares some common infrastructure. Moving to slide 9. Q4 MedTech sales declined 7% on a sales per day basis in comparison to prior year. As we move through the quarter volumes were pressured from increasing COVID cases and hospitalization. Recon sales declined 1% in the U.S., 3% overall and P&R declined 8% both on an organic sales per day basis. Given the rapid return of growth we saw earlier in 2020 we're confident that we'll see a quick return of growth in the coming months as cases subside and vaccines continue to rollout. Earnings were flat sequentially despite lower volumes. We continue to incur some COVID related inefficiencies driven by the challenges of managing through the changing demand levels and supply and shipping constraints, but we aren't letting that slow down our improvement journey. We continue to make great progress using CBS to strengthen the supply chain and innovation engines in our MedTech platform. As a result we remain confident in our ability to drive above market growth and continuous margin improvement in the future. On slide 10, Q4 marked another quarter of sales and margins sequential improvement FabTech versus the prior year organic sales per day declined 2%. This represents a continuation of the recovery we saw last quarter and what we see continuing into 2021. Also this completes the second year of outperforming our markets. The majority of our regions improved from the third quarter. Nearly half of our sales come from faster growing emerging markets that achieve year-on-year growth. Our North American and European regional sales improve but these markets are still the most affected by government action to control the spread of the COVID virus. Our gas control business achieved another quarter of solid growth due to the strong demand for our medical and life sciences gas control solutions. Our FabTech team achieved another quarter of strong decremental margins of 19% significantly mitigating the profit impact from lower sales. Margins were only 20 basis points less than our strong Q4 margins last year. During 2021 we successfully executed upon our restructuring programs to drive savings of just over $20 million with approximately 10 million of follow-up benefits next year. We're targeting additional savings next year at comparable levels positioning ESAB for continuous margin improvement and strong cash conversion. Before handing over to Chris to walk through our financial results, I'll wrap up on slide 11 and share our key 2021 priorities. We exited a year well-positioned to build on our momentum and are poised to have significant growth in 2021. We expect our teams to leverage CBS to sustain and strengthen our innovation and commercial processes to successfully grow our pipeline of new products and deliver market out performance and share gains. We expect to leverage this growth CBS and further savings from restructuring actions to expand margins while reinvesting in the businesses. We also expect to build on the cash flow momentum that we created to deliver strong and consistent cash conversion in 2021. Next we'll ensure the successful integration of our recent MedTech acquisitions to capture the benefits that will strengthen and accelerate growth in our business and to improve the health and mobility of patients all over the world. This success will enhance our ability to actively pursue additional strategic opportunities in both our served and adjacent markets. Wrapping up we feel both our FabTech and MedTech businesses should have a strong recovery in 2021 and have exciting futures driving growth, innovation and long-term value creation. With that I'll turn it over to Chris who will start on slide 12.
Chris Hix: Thanks Matt. Fourth quarter results show that our company has gotten much closer to pre-COVID performance levels setting aside the fewer number of selling dates in the quarter that we signal through the year, Q4 sales per day were down only 4%. Our industrial business grew in developing markets and experienced little drag from the COVID resurgence that affected our medical business. Gross margins of nearly 43% reflect our work to control costs and mitigate the negative operating leverage and COVID inefficiencies in the quarter. Our cost controls extended beyond the supply chain and enabled us to deliver operating margins of 13.6% and EBITDA margins of over 17%. Despite COVID pressures we executed well in the quarter and achieved $0.51 of adjusted EPS better than the guidance we issued. We also generated $96 million of free cash flow a clear indication of our potential that supports our confident view of future performance. Slide 13 demonstrates our improving cash flow trends throughout the year and compared with the prior year which included costs related to our portfolio transformation. We started 2020 with a clear line of sight to $250 million or more free cash flow in the year and we're solidly on that path before COVID impacted our results. COVID a resilient company and we use this challenge to accelerate many of our continuous improvement projects and firm up processes that kept us financially healthy in 2020. Our second half performance this year demonstrates that we are on a solid recovery path and fully capable of generating at least $250 million of cash flow each year from our businesses. It also shows that our leverage ratio should rapidly decline in 2021. We have a strong growth outlook for the New Year as shown on slide 14. Full-year MedTech growth of 21% to 24% over 2020 levels includes mid-teens organic growth about six points of growth from recent acquisitions and a point of expected FX. Our MedTech business is stabilizing in Q1 from the recent increase in COVID cases and we expect this business to return to growth over 2019 levels in the second quarter led by strong double-digit surgical growth. We are projecting this growth to translate into strong margin recovery before the impact from acquisitions. These recent acquisitions have gross margins of nearly 8% that will translate into high operating margins as they achieve scale and in 2021 these high growth acquisitions are expected to post mid single digit margins. Our FabTech business is projected to grow organically in the high single to low double digit range and we are currently forecasting a couple points of FX. We are projecting that faster growing developing regions will continue to grow and developed economy regions will sequentially improve before returning to 2019 levels sometime in the second half of 2021. This business is expected to improve margins more than half of a point in 2021 and end with margins higher than record 2019 levels. We are currently experiencing raw material inflation and applying our CBS tool kit to address this with dynamic pricing. We expect a net neutral profit impact in 2021 from this. All of this is expected to add up to EPS growth of over 40% or $2.0 to $2.15 and free cash flow of over $250 million. The slide includes the expected quarterly shape of the revenue sequentially building into Q2 and ending with our typically strongest fourth quarter. This translates into an earnings pattern that grows with revenue and restructuring benefits. We expect first quarter EPS of $0.35 to $0.40. Let's wrap up on the slide 15. 2020 was a challenging year. All of us at Colfax accepted the challenge and got to work to strengthen our company and rebuild our positive momentum. Strong fourth quarter results demonstrated that momentum as did the recent completion of two additional high growth MedTech acquisitions that will be fully integrated this year. Market conditions continue to improve and we are continuously improving our businesses. We have an active funnel of acquisitions to further enhance our company. We are excited by the potential of our businesses and expect 2021 to be an exciting year of profitable growth. With that Elm, let's open up the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Joe Giordano from Cowen. Your line is open.
Joe Giordano: Hi guys good morning.
Matt Trerotola: Hello Joe.
Chris Hix: Hi Joe.
Joe Giordano: Can you talk about for the new acquisitions kind of, its early but how does that like uptake with your existing sales force? Did you pick up new sales force as you continue to build out the channel with small businesses like this? How is the ability to kind of like push these new products through the existing channels that you have and how does that develop from there?
Matt Trerotola: Yes. Thanks Joe. So I'll comment on each. In foot and ankle there are specific doctors there and so as we acquire these businesses we get some channel that serves the specific surgeons and podiatrists there, but we also have the opportunity to leverage our surgical channel because some of the partners that we work within in surgical can easily access those doctors as well. So we definitely get some synergy both between our existing surgical business and each of these new businesses as they come in and the businesses also have channel synergy with each other. So that's kind of what's happening on the foot and ankle side and even bringing, we already had a good start with STAR and the channel and then bringing Trilliant in is makes it even more exciting in terms of attracting reps and doctors to STAR. On the LiteCure side there's a direct overlap in human rehabilitation with our existing channel and so there's great opportunity to bring the channels together and have great cross-selling opportunities not just here in the U.S. but around the world.
Joe Giordano: Alright, and then Chris how are you thinking about temporary costs or like incremental spending that needs to come back into the organization this year versus last year and are you seeing any like supply chain issues across any of your businesses?
Chris Hix: Yes Joe, what I would say is that as Matt commented we've taken out a tremendous amount of costs permanently in 2020, but to your point there were some temporary cost actions that we took and we expect those to flow back into the results of the company this year and that's reflected in the guidance that we gave including the strong margin improvements that we're expecting in both of the businesses. So we do have that fully baked in there. In terms of supply chain with respect to COVID we're still seeing a little bit of friction that's causing in the supply chain that we're working through in principally in our MedTech business and we expect that as COVID continues to clear that we'll be able to put that behind us.
Joe Giordano: Good. Thanks guys. I'll get back in queue.
Matt Trerotola: Thanks Joe. 
Operator: Our next question comes from the line of Scott Davis from Melius Research. Your line is open.
Scott Davis: Hi, good morning guys. Can you talk a little bit about, you outgrew your peers and welding pretty much all year and I know you have some geographic differences and such but do you attributed to the new product investment? Was there a bigger marketing push? Was there incentives? Any color you could provide there would be helpful.
Matt Trerotola: Yes. Thanks for the question Scott. We've really spent years in FabTech, building this very strong capability. We've got a tremendous global footprint with an ability to have kind of strong scale, but at the same time have agile regional service. We provide tremendous service to our customers around the world. We've built a tremendous innovation engine that continues to crank out more and more and more great progress or great products and innovation into that business including fresh and exciting things like our well cloud software solutions that have been gaining a lot of momentum And so, I think there's just a cumulative effect there that over the past couple years you're seeing reading through that business in terms of our ability to grow stronger than markets and there is no question that we're benefiting some last year from the fact that emerging markets grew faster where we're actually growing as we came through the back half of the year while the developed markets were still down and the shape of our portfolio helped us there, but we're also benefiting from years of effort making that business into really a tremendous business.
Scott Davis: Helpful and the acquisitions that you brought in, are they similar gross margin profile to DJO or a little bit higher, a little bit lower?
Matt Trerotola: Yes. As Chris commented they're higher, I think significantly higher than our fleet gross margins there in DJO and that's really one of our, as we look at the acquisitions that we're making in both platforms, but particularly MedTech platforms we're looking for acquisitions that enhance our gross margins, improve our growth and the ones we're talking about year today do both they're more in the range of our recon gross margins than our DJO overall gross margins.
Scott Davis: Okay, helpful. Good luck guys. Thank you. 
Matt Trerotola: Thank you.
Operator: Our next question comes from the line of Mike Halloran from Baird. Your line is open.
Mike Halloran: Good morning everyone. So on the MedTech side of the platform, you obviously understand cumulative cadence for the year a little softer in the first quarter ramps the year given some of the delays on both sides of the business. But could you talk about how you're seeing that cadence develop through the year between the reconstructive side and then the prevention recovery? How much of a lag do you think you might see in a prevention recovery side? Is there, maybe there's not a lag and kind of how those dynamics are expected to cadence as we move forward? 
Matt Trerotola: Yes. I think I heard the question like about the cadence of the recovery on the MedTech side in particular how it's going to play out between the different parts of the business. And I think we learned a lot last year that's very instructive in terms of how we thought about, how things play out this year. As a reminder our reconstructive part of the business is almost entirely driven by elective surgery. Our P&R side does have a portion that is driven by elective surgery, but then also has a broader range of growth drivers and is also significantly more global in terms of the growth drivers of the business. So those factor in and what we saw happen last year was that the recovery of elective surgery was very fast in June and July. And as soon as infection rates and hospitalization rates start to come down June and July recovery and elective surgery was very fast, so we saw a very fast spring back in our recon business and we saw the portion of our P&R business that has driven off electric surgery spring back very quickly as well and then in the subsequent March months, we started to see kind of the rest of those things that are more affected by mobility to start to come back. And so we got to sort of September/October we were just about back to pre- COVID levels across all of that before we got into the kind of November/ December pressure that we're still seeing a little bit here. So as we planned this year we've really tried to learn from that and we do expect that as we work through the first quarter we'll see kind of a rapid recovery of elective surgery to pre-COVID levels and then growth versus pre-COVID levels and we'll see the P&R business lag that part of the P&R business will come back very quickly. But it'll lag that and take a little bit longer to get back to pre-COVID levels and beyond. And so when we put that together that's how we've talked about getting back to growth over 2019 and by Q2 and then having sort of healthy growth over 2019 in the back half of the year as we're getting into a more normalized environment.
Mike Halloran: That's super helpful and then a second question, leverage in the high threes but cash flow is going to be stronger this year. How are you guys thinking about the balance between lowering the leverage levels and then how aggressive you want to be on the M&A side? And then secondarily, maybe just some thoughts on what that funnel looks like today; size, scope and how active you think you can be there?
Chris Hix: Yes. Maybe I'll start with that just by commenting that we think we've got this flexibility ahead of us to harness this growing and substantial cash flow to manage the path that we're on, which is a combination of deleveraging through the increasing profit and the use of our cash and pursuing M&A agenda like we've done recently with these highly attractive bolt-on acquisitions that have really tremendous growth potential in them. So I think you'll see us build tracking that through 2021. Matt you want to comment on that?
Matt Trerotola: Yes. We have got a robust funnel. We've got really good process to start with strategy and think about and understand the things that can accelerate the strategies of the businesses also think about the attractive adjacencies around the businesses and then prioritize that and build an M&A funnel based on that and do active cultivation within that funnel and then make thoughtful decisions about when we engage in opportunities to acquire companies. So we've got a robust project we've been using for years and we're using it very actively in our Med Tech business and built a very robust funnel of opportunities some of which are direct bolt-ons that strengthen and improve the businesses and some of which are more adjacencies. And as we've talked about before really looking at things more in the kind of small to medium sized range because there's a lot of attractive stuff that we can do in that range that can create a lot of value for our shareholders and strengthen and improve our businesses. 
Mike Halloran: Thanks gentlemen. Appreciate it. 
Matt Trerotola: Thanks.
Operator: Your next question comes from the line of Jeff Hammond from KeyBanc Capital Markets. Your line is open. 
Jeff Hammond: Hey morning guys. How are you? 
Matt Trerotola: Good morning Jeff.
Jeff Hammond: I guess first can you talk about what the underlying incremental margins are by business kind of incorporated in the guide?
Matt Trerotola: Sure. Yes. Jeff as you know the FabTech business has we've consistently talked about that being in the sort of low 30s rate when you consider in a growth period that we're reinvesting in the business and I wouldn't expect the incremental margins to really be much different than that heading into the New Year. Now I want to set aside from that the return of some of these temporary costs that we took out in 2020 that would naturally return in 2021 and then of course we've got the restructuring benefits that we'd expect to see in the business that we refer to in our prepared remarks. On the Med Tech side that business that's one that we've talked about being given the higher gross margins being consistently in that sort of load of maybe mid 50s range and we think that there is a fairly clear path to that again I want to set that aside from the return of any sort of temporary costs. So if you put that together with the growth that we've indicated with those other data elements here you'll see that it aligns nicely with the guidance that we've given for the significant margin expansion in 2021.
Jeff Hammond: Okay, great. And then just on the FabTech guide certainly a little bit better than the peers put out here recently. Can you just unpack it a little bit? What do you see in developed markets in terms of growth versus developing? How much are you baking in on price and there any kind of share gain built in there?
Matt Trerotola: Yes. So first we've talked about last year that the developing market down the back half of the year and we're growing over 2019 and so from a developing market standpoint we build on that and have some positive growth again here as we're working through 2021 as well. Whereas the developed markets we're off versus 2019 last year. So we see a significant spring back in 2021 versus 2020, but we start out the year off versus 2019 and then climb through the year back to where we turn over in our positive versus 2019 in those markets. 
Jeff Hammond: And what's price built in within that?
Matt Trerotola: Yes. And so I mean if you look at our price throughout last year was increasing with a higher price in the fourth quarter than the first quarter. There has also been ongoing inflationary pressure there and so just from the shape of price last year you're going to see that roll over into price for this year and then we've been doing some additional price increases on top of that. So most of the growth is from volume but there is still a piece of price that's in that growth, sorry Chris. 
Chris Hix: Yes. And in the price we as I mentioned in my comments here the price that we put forward is really just a dynamic pricing to deal with raw material inflation. So we don't expect any net profit impact from that in 2021.
Jeff Hammond: And then if I could sneak one more in foot and ankle looks like two nice deals maybe a $50 million business starting out. What do you think is the right scale in that business to kind of really be meaningful and nicely profitable? Thanks.
Matt Trerotola: Yes. So it's about a billion dollar U.S. market a couple billion dollars globally, but it's got a lot of different slices in it. So you can actually build nicely scaled businesses in the pieces that don't have to be all that big, but you also can build scale across all of that and so we feel pretty excited that we've got a good head start towards building say $100 million business in the space over the coming years and that would be very attractive player in the space and a great growth engine, highly profitable growth engine for our business.
Jeff Hammond: Thanks.
Matt Trerotola: Thanks Jeff.
Operator: Our next question comes from the line of Andrew Obin from Bank of America. Your line is open.
Andrew Obin: Yes. Can you hear me?
Matt Trerotola: We can. Good morning Andrew.
Andrew Obin: Yes good morning. Just a question a longer term question on MedTech. Lots of moving parts COVID comps, M&A what's your view of medium term normalized revenue growth including the work you've done at DJO and the new acquisitions and on top of it just also want to make sure that there is no big catch up in 2021 there would be a big headwind to growth in 2022. So just a big picture question on MedTech. Thank you. 
Matt Trerotola: Yes. So we talked, we've been talking since we acquired the business about growing it to be a big single digit grower sort of 4% to 5% type of growth range and we demonstrated that in the back half of 2019, I think pretty clearly that the portfolio can do at least that 4% to 5% range and likely more. And I think even how we've made our way through 2020 sort of reinforces that we're already demonstrating kind of a growth versus the market that would suggest at least kind of a mid single digits capability. I think you add in some of these growth accelerators that we've already acquired as well as the improvement trajectory that we've got in the business and we see it as a business that we think can grow north of mid single digits and then we're going to continue to add things to the business that solidify it as a high single digit grower in the MedTech space. As far as recovery I think if you really look at the dynamics in the space and even really look at what a lot of other players have talked about in the space there's really more of a view that even with a strong recovery in 2021 there's likely to be some more extra growth in 2022 that comes from some of the delayed demand because most of the demand or at least significant amount of the demand in our business is things that continue through COVID the diseases that drive the need to have an implant procedure they continued to march on and so you have people that needed the procedures but have been pushed to the right and so what happens here in 2021 is that we get recovered to pre-COVID, some growth and even get to start kind of working on catch it up on the backlog but the conventional wisdom is that still then as you roll over into 2022. There's probably going to be another year of catch-up where there's kind of above normal growth in the elective surgery parts of the business before we get to a more normalized environment. So I think we've got great opportunity for a couple years here a very strong growth and by then we expect to continue to shape the portfolio to where it can sustain that kind of high single digit growth range.
Andrew Obin: Well sounds good to me. So just another question on your M&A it seems like you guys are able to find a lot of these 25 million to 30 million revenue targets in MedTech. Does the pipeline look similar to the completed field similar scale, high gross margins, good growth prospects? I know you sort of answered it in one way but just a different way of asking about the targets that you're seeing. 
Matt Trerotola: Yes. We do see it is a space that there's a lot of players that will get started. We'll have some good innovations. We'll leverage some of the existing channel build a little bit of own channel and kind of grow their way into that 10 million - 20 million - 30 million dollar revenue range and it's been quite common. The other foot and ankle space as a number of players there even within the existing kind of larger shoulder and hip and knee space there are still players that are kind of growing their way through with new and innovative technologies and things. So we see a lot of opportunities in recon still in that kind of smaller and attractive company growth range. There is attractive bolt-ons to look at on the P&R side also that look like LiteCure acquisition where there's certain technologies or applications that are higher growth areas where we don't have as strong a position either based on history or based on kind of some new innovation that someone has been doing and we can acquire those businesses, bring them into our channels and create a lot of value. So we do see a healthy pipeline and expect to be able to continue to do attractive acquisitions in MedTech.
Andrew Obin: Well it sounds like you guys have a lot of things to do into 2021. Thank you. 
Matt Trerotola: Yes. Indeed. Thanks Andrew.
Operator: Your next question comes from the line of Chris Snyder from UBS. Your line is open. 
Chris Snyder: Thank you. I was hoping to get a bit more color on the Q1 guidance specifically for MedTech. So in the prepared remarks you guys said that volumes are stabilizing in Q1, but is this relative to Q4 or is this just a stabilization in the monthly cadence and should this lead to less seasonality than normal into Q1 for MedTech? 
Matt Trerotola: Yes. I will just comment on the revenue trends what Q4 again started out at that kind of that level of almost fully recovered and then November and December at pressure and so November and December were not as high up as October had been and I think our view of Q1 from a demand standpoint is sort of the mirror image of Q4 and that January has started out with some pressure. But already started to see some of that pressure subside in late January through February and so we're seeing kind of that mirror image effect in terms of how Q1 plays out before we get to what I've talked about earlier in terms of Q2 being in a more normalized range and Chris might want to come a little more on the guidance beyond that.
Chris Hix: Yes. So the guidance reflects that revenue trend that we see from Q4 to Q1 as Matt laid out and that's fully baked in.
Chris Snyder: Appreciate all of that. And then for the second question, are you guided to mid single-digit margins in 2021 for the recent MedTech acquisitions. Can you maybe provide a time frame for when you think these acquisitions will turn margin neutral relative to the existing MedTech in the high teens range. And then what's the potential for these to ultimately come margin to accretive because they're is the gross margin premium?
Matt Trerotola: Yes. So as I said by year three they'll be gross margin accretive and certainly when you look at the gross margins there's the potential for them to be highly accretive but there's also the potential to keep investing in them and grow them a lot for a long time and so I think as we've acquired some of these higher growth businesses we definitely have a view of how do we get them get them scaled in the first couple years and get them to where they're accretive to earnings. But we also have a view of making sure that our plans include continuous investment in the innovation and the channel of those businesses so that they'll be able to carry forward these high growth rates on a go forward basis. I think that creates a great opportunity as we continue to scale our recon business further and further with these higher gross margins. We can have very high growth for a long period of time but as the business scale there will be an opportunity for more and more overall margin to drop through.
Chris Snyder: Thank you. 
Operator: And our next question comes from the line of Nathan Jones from Stifel. Your line is open.
Nathan Jones: Good morning everyone. I am just going to do one more on the acquisitions and maybe the path to getting to those high teens, low 20s or better EBITDA margins. You talked about needing scale here is this just a matter of they've got pretty good organic growth leverage, the SG&A without having it to add to it to get to that kind of level? Are there CBS improvements to be made in the businesses? Do you need to make further acquisitions to get that scale that you're talking about to push those margins up? Just any color you can give us on the path to that margin improvement?
Matt Trerotola: Yes. Sure. So many of the acquisitions that we do have some extra costs in the first year that lead to a little bit less initial margin that then grows over time in terms of some of the normal kind of early investments that we make in the business maybe kind of get them over to a new IT system and things like that. So it's pretty common to have that pattern in our bolts-on acquisitions of the first year being a little bit lighter and then certainly as these acquisitions we're talking about here, we have the opportunity over the next couple years to have channel synergies, operational synergies and just the scaling of the business. And so yes, we're not counting on another acquisition in order to get to the kind of accretive margin levels that we're talking about. We see a clear path in terms of just some of the natural synergies and some of the normal scaling of the business over the first couple years of ownership. 
Chris Hix: Yes and with the sort of growth rates that we envisioned with these businesses with the high gross margins that they've got you can achieve a lot of significant amount of operating leverage that gives you the benefit of both margin expansion but also providing some of the wherewithal to continue to invest in the businesses, innovation channel, etc. 
Nathan Jones: Makes sense and then free cash flow you guys are guiding to at least $250 million in 2021. You've got about $35 million of cash restructuring costs baked into that and I'm assuming that the growth that you're forecasting in 2021 is going to require some investment in working capital this year. Does the restructuring expense drop off as we go into 2022? Working capital investment kind of normalizes and we can see a path to that being at least $300 million over the next year or two? 
Matt Trerotola: Yes. So for 2021 as you would imagine the sort of growth rates that we're talking about will require a little bit of working capital investment notwithstanding that we expect the underlying metrics of day sales and inventory DSO, etc. to all improve. So we expect there will be a little bit of drag on cash flow as we go into 2021 and we expect to have considerable growth beyond 2021 but perhaps not at the same sort of recovery levels. So I would expect there to be a little bit of a less of a drag for working capital going forward. That opens up the window certainly with expanded profit along with expanded profit to increase cash flow as we get into 2022 and beyond.
Nathan Jones: Thanks for the color. 
Operator: Our next question comes from the line of Steve Tusa from JPMorgan. Your line is open.
Steve Tusa: Hi guys. Good morning. Just looking at, do you guys expect total revenues to be around 2019 this year or above? I mean I know you got a bit of like a slow start but you talked about the second half growing from 2019. I mean with the acquisitions can revenues kind of get back to 2019 levels? 
Matt Trerotola: Yes. I think what we're suggesting is in the MedTech business we would expect the revenues to be higher than what we had in 2019 as the business returns to growth over 2019 levels starting in Q2 and then in the back half of the year. So for the FabTech business there is the opportunity for that depending on how quickly the developed markets recover. As we mentioned in our comments the developing markets have shown considerable resiliency and growth throughout 2020. We think that continues in 2021, but for the developed markets there it's really just about the pace of the recovery that which we expect to see more toward the back half of the year. 
Steve Tusa: Right. I mean I think you guys did like two bucks in earnings in 2019 at least I don't know maybe that's like a pro forma number there's a lot of adjustments, but I mean is there any reason why you can't do a higher number on or are there any like major differences whether it's maybe it's mixed. I mean I think you took some structural cost out. So why wouldn't you be further above that level and I don't think that year actually included a full complement of DJO? So I'm just like is that kind of what the guidance implies above that just above that number? I would think would just be a little bit higher like for like on an EPS basis.
Matt Trerotola: Yes. So the number in 2019 I think it was about $2 of earnings that was a fully baked pro forma number. So that had the full year of expected benefits from DJO even though we only owned it for 10 months at the time. So we had let's call it $2 in 2019 and we're guiding to $2.0 to $2.15 on revenue levels. It could be very similar or perhaps slightly above. Now we've made considerable strides in both businesses and but as we also continue to reinvest in both businesses to drive innovation and other operating improvements there. So we expect to drive significant improvement in EPS while at the same time supporting the businesses long-term potential.
Steve Tusa: Right. So the margin is like a little bit below what it was back then I guess maybe? 
Matt Trerotola: I think for the businesses they're on different trajectories. You've got the FabTech business which we commented we expected to exceed its record margin performance in 2019 and then the MedTech business which will have these new acquisitions in it as well which influences the margins a little bit. Underlying corporate the margins we mentioned would be up 400 basis points off 2020 levels. So I'd say pretty good progress there as well.
Steve Tusa: Yes. For sure. And then just one last one on free cash flow. You said above 250, I still, I think that's short of 100% conversion I mean is there any visibility on kind of when you guys can get to 100% cash conversion? Is that in the mindset at some point in the intermediate term on your adjusted EPS?
Matt Trerotola: Sure. I think, sure. Listen I'm really pleased with the progress that we've made on cash flow and we talked about going into 2020 and getting sort of a 90% plus conversion. We ended up at I think 97% somewhere around there, which demonstrates the improvements we've made. Now that had a little bit of tailwind from working capital in it, but we are very close to knocking on the door of getting to 100% conversion. I think this year we'll have a little bit of a drag from working capital and then as we get beyond this into 2022 and 2023, I think 100% conversion very much comes in the frame. 
Steve Tusa: Yes. Great. Thanks for the color. Appreciate it. 
Operator: Your next question comes from the line of Joe Ritchie from Goldman Sachs. Your line is open.
Joe Ritchie: Thanks. Good morning everybody. 
Matt Trerotola: Hello Joe.
Joe Ritchie: Hi Matt, I was wondering if you can maybe just elaborate a little bit more on the COVID related inefficiencies that you described earlier in the MedTech business? What are you seeing exactly? Is it impacting your supply chain at all? Is it phrase like what are you guys seeing in the business right now? 
Matt Trerotola: Yes. Sure. Joe. I think I certainly in Q3 and Q4 as we had to bring the supply chain up fast and then do some ups and downs found the back half of the year there's been some inefficiencies related to the labor force and having to kind of flex the labor force, bring in temporary labor things like that. There has also been some inefficiencies around expediting and other costs on that on the freight logistics front. Some earlier on in terms of getting it out to customers and then later in the year the inbound stuff got tougher and we had to do some expediting on the inbound and so those are the kinds of things we've been really trying to keep our eyes on the prize and keep our customers in good shape and that's led to some extra cost in the business in Q3 and Q4 and at the same time we keep working on the extra the underlying improvements so that as we come out the other side we'll make sure we're in the right place. 
Joe Ritchie: Got it. So is the expectation in the guidance that starts to normalize them in the second half of the year and that actually becomes like a good guy or a tailwind in QH?
Matt Trerotola: Certainly on a year-over-year basis so yes so I think certainly we'll start the year still with a little bit of that pressure but then should clear it and that'll get us back normal, more normal environment and so when you get to the back half of the yes you will have some benefits in the year-over-year comp but you'll also have some of the temporary costs coming back in. So those will have some pros and cons.
Joe Ritchie: Got it. And then maybe just one question for Chris. I know you're kind of managing to price cost neutral but specifically on the welding segment is there anything we need to be aware of from like a cadence perspective on, I know price is going to come through from 2020 into 2021 but given where commodity prices are today. Are there any like specific quarters where you'll actually see some negative pressure from that dynamic?
Chris Hix: So as Matt I think indicated maybe in an earlier comment, the price actions that were taken to begin to address the raw material inflation in Q4 are going to roll into the first quarter this year, the first half of this year and then he mentioned that there's some other actions we've taken more recently to further address the raw material inflation. From this point forward it's really about dynamic pricing. So reacting to the conditions that present themselves and staying on the balls of our feet on that. So that's what we see right now.
Joe Ritchie: Okay. Great. Thank you guys. 
Operator: Your next question comes from the line of Julian Mitchell from Barclays. Your line is open.
Julian Mitchell: Hi, good morning. Maybe just let me try and understand the acquisitions a little bit better. I think you said that the gross margins 80%, the operating margin is sort of 5, so you've got a maybe a 75% OpEx to sales ratio which is quite high I think versus most businesses in any industry that we come across. So just wanted to understand is that some sort of adjusted gross margin or some definitional difference of cost versus how the Colfax based business looks at it?
Matt Trerotola: Yes. Well it's not an adjusted gross margin anything like that. I think what I'll say it varies by the businesses and I can comment on these as well as just others that we've got in the pipeline, we look at in some cases these smaller businesses that have been built, have really had a philosophy of investing 100% of the profit in growing the business. And so when we bring them in we have an ability to do those investments more efficiently at some of them and to start to scale that and so we make a thoughtful call of over the first couple of years how we're going to continue effectively the same level of growth investment but get efficiencies on that and things that start to make the total SG&A and R&D percent of sales come down a little bit and so that's one. But then there's others that we consciously have some specific over investment that we're going to do in the first years like that IT consolidation sales force is different things that are kind of your year one in investments that they're not just adjusted investments but they're kind of in the business investments that we know are going to pull down that first year versus the course that they've been on but then are going to clear and so there's a little bit of each in these three businesses.
Julian Mitchell: Thank you. And then maybe just looking at that FabTech organic sales guide for the year. So should we assume you're up single digits Q1 year-on-year, up 20% plus Q2 and then you're sort of up mid single digits in the second half and maybe help us understand in that second half assumption any split of sort of the international versus more domestic business. What growth rates you're assuming there in the second half?
Matt Trerotola: Yes. I'm not sure that we're prepared to guide specifically each quarter's revenue growth there Julian, but we do believe that the business is pretty well positioned starting off the year in the first quarter and then continuing to pace through and we'll have the easiest comparison as we get into the second quarter and a bit of the residual effect in Q3 and then we get into Q4 and you'll start to see us clear more and more of the of the COVID year-over-year comparison there.
Julian Mitchell: Thanks. And any sort of bifurcation on that international versus more domestic business maybe just a year as a whole than the two the differing growth rates between the two?
Matt Trerotola: Yes. As we've commented we've seen the developing markets continue to grow through 2020 and we expect that to continue in 2021 on the developed market side. We expect those to let's put aside the easier comp over 2020 rates and think about over 2019. As we commented, we expect the developed regions to get back to 2019 levels sometime in the second half of the year.
Julian Mitchell: Great. Thank you. 
Operator: Your next question comes from the line of Nicole DeBlase from Deutsche Bank. Your line is open.
Nicole DeBlase: Yes. Thanks. I appreciate you guys squeezing me in here. Good morning. 
Matt Trerotola: Morning Nicole.
Nicole DeBlase: So I guess maybe starting with 1Q thinking about FabTech margins that was definitely an area of positive surprise during the fourth quarter. Decrementals a bit lower than I think you guys were expecting as well. So can that decremental margin performance carry into the first quarter or are there any kind of puts and takes on cost, price costs that we need to be thinking about?
Matt Trerotola: Well, I think the comment that we made just a moment ago was suggesting that the ESA business is likely to more likely to be in a growth mode in year-over-year in Q1 and so we're thinking about it more from an incremental margin perspective and as we frame up the full year Nicole, we think about the incremental margins in the business being largely in that traditional kind of 30%-ish sort of range reflecting both the natural operating leverage and then the desire that we always have to continue to reinvest some of that back into the business. That's the natural sort of rate in the business independent of some of these temporary costs coming back that we took out in Q2 and a bit in Q3 of 2020 those sort of re-emerging but then you've also got the factor of restructuring benefits flowing through. So all of that baked in and that gives us the viewpoint that in this business we should be able to deliver another year of record margins in 2021. 
Nicole DeBlase: Got it. Thanks. That's helpful and then I guess just on MedTech the one thing I was surprised about is that you guys are expecting a return to 2019 demand levels as early as 2Q when it seems like the vaccine rollout is going a little bit slower than expected and infection rates remain high. So I guess how did you think through getting confident in that outcome?
Matt Trerotola: Yes. Again and Nicole, as I said when we look back at what happened in June and July we see that in June and July when things were kind of starting to clear there we got back very close to 2019 demand levels and our surgical business was actually growing nicely. Elective surgery got into maybe a 80% to 90% of pre-COVID level that took our surgical business into positive growth range and brought our P&R business closer to 19 levels and so using that as a reference point and looking at the trends on cases looking at the rollout of the vaccine looking at what we're hearing from hospitals about their plans and surgeons about their plans we see an opportunity for a similar kind of bounce in the next couple months. We see that as the expected pass through this year and that gets us then in Q2 kind of at or above 2019 growth levels and then growing nicely in the back half of your over 2019.
Nicole DeBlase: Got it. Thanks guys. 
Matt Trerotola: Okay. Thank you. 
Operator: [Operator Instructions] 
Matt Trerotola: And with that I think we are going to end today's call. There is no longer anybody in the queue. Thanks everybody for joining our call today. Look forward to talking to you soon. 
Operator: Alright. Thank you. Ladies and gentlemen that does conclude our conference for today. Thank you all for joining. You may all disconnect.